Operator: Good day, ladies and gentlemen, and welcome to the Entergy Corporation Fourth Quarter 2017 Earnings Release and Teleconference. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I’d now like to turn the conference over to David Borde, Vice President, Investor Relations. You may begin.
David Borde: Thank you. Good morning, and thank you for joining us. We will begin today with comments from Entergy’s Chairman and CEO, Leo Denault; and then Drew Marsh, our CFO, will review results. In an efforts, I commentate everyone who has questions, we requested each person ask no more than one question and one follow-up. In today’s call, management will make certain forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed or implied in the forward-looking statements. Additional information concerning these risks and uncertainties is included in our earnings release, our slide presentation and the Company’s SEC filings. Entergy does not assume any obligation to update these forward-looking statements. Management will also discuss non-GAAP financial information. Reconciliations to the applicable GAAP measures are included in today’s press release and slide presentation, both of which can be found on the Investor Relations section of our website. And now I will turn the call over to Leo.
Leo Denault: Thank you, David, and good morning, everyone. Today, we are reporting strong results for another productive year. Utility Parent & Other our core business exceeded our adjusted EPS guidance and our consolidated operational earnings were in the top half of our guidance range and also higher than expectations – than our expectations. And we executed on our key 2017 deliverables. At the Utility, we had an active regulatory calendar and we continued to gain certainty for major product – projects in our capital plan. We received approval to build two new highly efficient gas-fired generating resources. All of our jurisdictions approved our plans to implement AMI in the respective service areas. For transmission, we completed another [indiscernible] cycle. We made significant progress in the certification of the New Orleans Power Station. We completed three annual formula rate plans in Arkansas, Louisiana and Mississippi. And we implemented two cost recovery factor increases in Texas. We are in discussions to extend Entergy Louisiana’s annual FRP. We continue to longer path to continue clarity on our exit from the merchant business in 2022 and we raised our dividend for the third consecutive year a trend we expect to continue subject as always to board approval. Our accomplishments this year are simply a continuation of the path we set several years ago. A path to become a world-class utility that prospered by creating sustainable value for all the stakeholders. We set out to be a company that delivers strong financial results to its owners, invests in its employees to create a workforce for the future and is an environmentally and socially responsible growth engine for its communities, while maintaining some of the lowest rates in the country for customers. Our key deliverable support this aspiration for our company. As we look ahead to 2018 and our three-year outlook period, our success is less dependent on strategic initiatives and more on our own operational execution. As a result, today we are initiating 2018 guidance consistent with our previous disclosures. We are affirming our Utility Parent & Other longer-term outlook through 2020. Beyond that we continue to see a good path for steady predictable growth at our core business as we continue to modernize our infrastructure. We are laying the foundation now to be the sustainable solutions oriented utility of the future that provides customer focused innovation in a changing world. Shifting now to 2017, let’s review some details behind our key accomplishments that keep us on track to attain both our near-term goals and our longer-term aspirations. On the regulatory front, we successfully completed Entergy Arkansas, second forward test year FRP with rates effective last month. The commission approved our comprehensive settlement agreement, which among other matters verified the prudes of the nuclear cost included in the 2017 and 2018 test year filings. Entergy Louisiana filed a request with Louisiana Public Service Commission to extend its formula rate plan for another three years. While the settlement talks have slowed to ensure parties understand the implications of tax reform, discussions have been productive and are ongoing. With respect to our large generation projects, we received approval to build the Lake Charles and Montgomery County Power Stations. With the St. Charles Power Station, these projects are an important part of our investment plan to modernize the electric grid and improve reliability. All three are on schedule and we are confident, successful, on time and on budget execution. We’ve also made significant progress in the certification of the New Orleans Power Station with the Council Utility Committee’s approval of the project earlier this week. We expect the full councils take up the certification for a final decision on March 8. We also made strides in transmission. We invested approximately $1 billion and placed more than $900 million of capital projects into service. We also made significant progress on the Lake Charles transmission project. This is our largest transmission endeavor to date and it includes 30 miles of extra high voltage transmission line and addresses reliability needs driven in part by low growth in Southwest Louisiana. We expect to complete the project in second quarter 2018. We wrapped up the 2017 MTEP review and MISO approved 70 projects in our service area totaling approximately $1 billion. Regarding the growth and transformation of our distribution system, we have now received regulatory approvals for the deployment of advanced meters in all of our jurisdictions. IT infrastructure, communications networks and meter data management systems that will enable commuters to be smart are being constructed. We are pleased with the progress we’ve made on AMI and each of our jurisdictions. And the positive feedback we continue to receive from our stakeholders, especially regarding the benefits and future opportunities this technology will provide for our customers. The investments we make in our core business also improve our environmental footprint. We have one of the cleanest generating fleets in United States and the principal objective is to remain an environmentally sustainable fleet for the communities we serve. The cornerstone of this objective began we were the first U.S. utility to commit voluntarily to stabilizing CO2 emissions in 2001. 10 years later, our commitment went beyond merely stabilizing CO2 emissions. In 2011, our environment 2020 commitment included a voluntary pledge that through the year 2020, we would maintain our carbon dioxide emissions at 20% below year 2000 levels on a cumulative basis. I’m pleased to report that we are meeting our commitments and the investments we are making will enable us to continue to lower our emission rates at the utility. For example, highly efficient combined cycle power stations such as St. Charles, Lake Charles, and Montgomery County will produce fewer carbon emissions than the legacy units they replaced, improve our average fleet efficiency and use less water. Nuclear generation is also an important not emitting base load resource. Prudently investing to preserve these valuable assets is an important part of our strategy to deliver sustainable value to all of our stakeholders. Our planned investments in new technologies to modernize our grid such as advanced meters will further improve efficiency. On top of that our customers of all classes are interested in the deployment of renewable resources and we are working to meet these expectations. To that end, over the next three years we expect to contract for over 800 megawatts of renewable resources. Of these approximately 180 megawatts are the two power purchase agreements in Arkansas that we have discussed with you on previous occasions. Of the remainder, approximately half represent ownership opportunities. These are just a few illustrations of the many investments that we are making today to develop an electric generating and delivery system that is well positioned for operations in a carbon constrained economy whatever that may look like in the future. Turning to EWC, we’ve taken important steps to provide a clear path to exit that business in 2022. We reached an agreement to cease operations Dominion point in 2021 and submitted our deactivation notice to New York ISO. The ISO concluded there will be no reliability issues resulting from Indian Point’s retirement. We sold Fitzpatrick preserving the plants benefits for its employees and community. And we decided to continue to operate Palisades through the spring of 2022 a cash positive decision. Finally, in 2017, we received a number of awards that recognize our accomplishments, values and commitments. We are once again included in the Dow Jones Sustainability in North America Index. We are named one of the top 10 utilities in economic development by Site Selection Magazine. Women’s Business Enterprise National Council listed Entergy is one of America’s top corporations for women’s business enterprise. We are one of Corporate Responsibility Magazine’s 100 best corporate citizens and we received EEI’s Emergency Recovery and Emergency Assistance Awards for our storm restorations efforts. Our commitment to our communities is further evidence by our charitable contributions, which total approximately $16 million annually, including investment in workforce development across our jurisdictions. Our employees and retirees are also generous with their time, volunteering some 100,000 hours annually. All of our accomplishments and successes are the result of our employees first rate level of professionalism, dedication and hard work every day. I want to thank more than 13,000 men and women of Entergy is the living by our values working safely and acting with integrity. Their ideas and can-do spirit make Entergy a better company. Looking ahead, our 2018 plan support our financial outlooks as well as our aspirations for the future of our company. As I mentioned earlier the foundation for success this year is largely in place and less dependent on strategic initiatives and on our own operational execution. We’ll be building projects that have already been approved continuing with the annual MISO, MTEP process making regulatory filings in the normal course of business. Two major transmission projects will – we will complete this year for the Lake Charles project noted earlier in the $130 million Southwest Mississippi improvement project. We look forward to their completion and the benefits that they will provide to our customers and to our region. We will also complete AMI’s core IT system implementations and initiate deployment of the communications network. This will support meter installations beginning early next year when customers will start to see the benefits this technology provides, giving them the ability to manage their usage and their bills. Another important goal for 2018 is for ANO to exit Column 4. Over the past few years, we have worked with NRC as well as our peers and we have systematically completed the actions outlined in our confirmatory action letter. ANO is on track to return to normal oversight this year. As for our regulatory agenda, we are working with each of our regulators on the effects of tax reform and we welcome the change for our customers. On an ongoing basis, the lower tax rate means that customer bills will be lower than they otherwise would have been. That’s important to us as evidenced by the fact that our rates are among the lowest in the country. We plan to make rate filings in each of our jurisdictions this year and we expect actually point to be addressed in the normal course of those proceedings. We are also focused on efforts to address customer needs in unique ways. For example, in Mississippi, working with the Public Service Commission, we are teaming up with cease fire on a fiber infrastructure project. This project will span over 300 miles in 15 counties to bring next generation broadband services to consumers and businesses in some of the most isolated and rural parts of the state. These services will open doors that were not previously available in those areas. At EWC, we will remain focused on safe and reliable operations to finish strong in the last few years of operation. Regarding our VY NorthStar transaction, we have made substantial progress towards finalizing an agreement and we filed a status update with the Vermont Public Utility Commission earlier this week. As the report states, the parties anticipate filing a memorandum of understanding by March 2. That some or all of the parties will join. The MOU will address financial assurances and site restoration standards. We still target closing the transaction by the end of 2018. All of these plants support our guidance and are the foundation for a long-term outlooks, which we affirm today. Drew will provide additional color around our forward-looking commitments. 2017 has been another year of significant accomplishments for our company. Accomplishments that will help provide the foundation for our pursuit of the much broader aspirations we have set for ourselves. Today, we are a very different company than we were just a few years ago. We are a simpler company and a stronger company for the benefit of all of our stakeholders. For years we’ve been committed to creating to sustainable value for owners, customers, employees and communities, the commitment that many investors are recognizing as essential to success over the long-term. That has been reflected not only in the steps we’ve taken to exit the EWC business and strength in the utility, but also in our leadership position among utilities and critical measures of sustainability including our recognition as an environmentally and socially responsible in Utility. Our operating and financial positions are solid and our strategic direction is clear. All of this prepares us to meet the challenges of an evolving industry. Over the next three years, we will continue to strengthen and deliver on our commitment to our stakeholders. We will place into service new, clean, efficient generating resources. New transmission projects throughout our service territory and of course AMI. AMI and its related technologies will serve as the foundation on which we plan to build the Entergy of tomorrow. As new technologies data and analytics continue to improve, so too our ability to deliver tailored customer solutions that better meet our evolving customer expectations through a dynamic, integrated energy network and new products and services beyond basic power delivery. We want to be in a position to deliver the most assessable, affordable, reliable and sustainable energy mix for the future. A future that offers transformative change and once in a lifetime opportunity and we are eager to lead the way. Before I turn it over to Drew, I’m excited to announce that we will host our Analyst Day conference in New York City on June 21. Our main objective will be to give you a view of our five year outlook and our plan for operational execution. We will also continue the conversation on how we define our company beyond five years. Stay tuned for more details. I will now turn the call over to Drew, who will provide more detail on our 2017 financial results, the implications of tax reform for our company, 2018 guidance and our three year outlooks.
Drew Marsh: Thank you, Leo. Good morning everyone. As Leo mentioned, 2017 was another productive year for us with significant accomplishments. Before we get into the details, for Entergy consolidated, we finish in the top half of our operational guidance range, exceeding our expectations for the year despite the negative effects of weather. This is better than we told you to expect on our third quarter call primarily driven by two factors. First with Utility, we experienced strong sales growth, led by our industrial sector which came in at 7% quarter-over-quarter. Second, we saw benefits from our continued efforts to derisk our EWC business. Our Utility Parent & Other on an adjusted view, we also ended above our expectations and above the top end of our guidance range due to the strong sales growth. Beyond the financial results, we also know the tax reform is on your mind. Leo mentioned that new legislation will provide significant benefits to our customers. Over time will return approximately $1.4 billion for the unprotected portion of the excess ADIT and one form or another, whether through customer refunds, cash investment in new asset accelerated depreciation or other options our regulators may consider. And on an ongoing basis, the lower tax rate will translate into lower bills than our customers would have otherwise. In addition, our 2018 guidance and a longer term outlook we are affirming today, include expectations for the effective tax reform. I will now turn to some of the drivers for our fourth quarter results in more detail, starting with our core business Utility Parent & Other on Slide 6. On an adjusted view, earnings were $0.21 higher than fourth quarter 2016, driven by strong sales growth. For the industrial class, we saw robust sales from existing customers largely from the chlor-alkali and primary metals sectors, as well as new and expansion customers. We also recorded non-recurring regulatory charges totaling $0.10 in fourth quarter 2016. Higher non-fuel O&M partially offset these benefit, primarily due to higher nuclear spending continued to drive our nuclear strategic plan. EWC on Slide 7, operational earnings increased $0.39 quarter-over-quarter. FitzPatrick contributed in $0.11 loss to fourth quarter 2016 results and the sale of that plan in 2017 affected variances from multiple line items. Excluding the effect of FitzPatrick, earnings increased $0.28, due largely to higher income from realized earnings on decommissioning truck, which we highlighted as an opportunity on our third quarter call. Strong market performance increased trust value to a level where we locked in game by rebalancing some of the truck investments toward lower volatility fixed income instruments. On Slide 8, operating cash flow in the fourth quarter was $911 million, approximately $165 million higher than a year ago. The increase is primarily due to collections of fuel and purchase power cost at Utility. Now turning to the full year on Slide 9, consolidated operational earnings for 2017 were $7.20 per share higher than the $7.11 in 2016. It is also above our guide midpoint despite negative weather and better than our expectations in October. As I mentioned drivers for the change versus our expectations included strong sales growth at Utility and higher realized earning on decommissioning trust. Utility Parent & Other adjusted EPS on Slide 10, was $4.50 in 2017, $0.18 higher than 2016. The increase was due largely to rate actions to recover productive investments to benefit our customers, as well as residential commercial and industrial weather adjusted sales growth. This increase was partly offset by our spending on nuclear operations and other operating expenses. Slide 11 summarizes EWC operational earnings, which increased year-over-year to $3.24 per share in 2017 from $2.01 in 2016, excluding Fitzpatrick, this increase was due largely to income tax items and as previously mentioned higher realized gains on decommissioning trust funds. 2017 results also reflected higher decommissioning expense, primarily from the establishment of decommissioning liabilities in Indian Point 3 in August 2016. Full year 2017 operating cash flow shown on Slide 12, was approximately $2.6 billion in 2017, $375 million lower than last year. higher refueling outage cost as we completed seven refueling outages this year at both the merchant and utility fleet on favorable weather at Utility and lower EWC net revenue were the main drivers. Today, we are issuing our 2018 consolidated operational EPS guidance of $6.25 to $6.85 and Utility Parent & Other adjusted guidance of $4.50 to $4.90. On Slide 13, starting with Utility Parent & Other on an adjusted view, our range is consistent with the outlook represented at the EEI financial property last November. Walking through a few of the key drivers, let’s start with the top line. Our projected sales volume 2018 is largely unchanged from our view at EEI, and our guidance reflects a slight decline year-over-year. However, we expect volatility from quarter-to-quarter. For example, we expect industrial sales growth in the first quarter as new customers become fully operational, but we expect sales declines over the remainder of the year as existing customers return to normal operation and take maintenance outages following strong performance in 2017. Despite the tempered outlook for our industrial sales growth in 2018, we see growth resuming in 2019 and 2020 as new projects come online. We are projecting non-fuel O&M to be approximately $2.6 billion, which represents a slight increase compared to 2017. This reflects slightly higher pension expense due to a pension discount rate assumption of 3.78%, which is lower than our previous expectation. Return of excess ADIT affects the top line. But it’s essentially offset in income tax expense. 2018 also assumes normal weather and no income tax planning items at Utility Parent & Other. Additionally, as a result of tax reform at Parent & Other, we’ll see a lower tax yield on that segment’s loss. We also expect higher financing cost. At the Utility, the tax change will affect each operating company differently and we expect the more significant impact to be in Entergy Arkansas. Because of the mechanics of the FRP, Entergy Arkansas can earn closer to its allowed return in 2018. This is a key driver that helped offset the negative drag at Parent this year. At EWC, we expect earnings to decline in 2018 largely due to income tax planning items. As you recall, in second quarter 2017, EWC recorded an income tax benefit contributing $373 million to operational earnings. This year, we are assuming that EWC will record another tax benefit currently estimated to be approximately $100 million. In addition, we expect lower net revenue largely due to lower energy prices and higher non-fuel O&M due to higher projected nuclear spending, partly due to the decision to operate Palisades until 2022. These decreases are offset by lower depreciation expense also due to the Palisades decision and higher earnings on decommissioning trust, due to the change in accounting rules require us to mark the equity portion of those investments to market. Right now our guidance reflect a return assumption of 6.25%, which equates to approximately $1 in earnings per share. We also expect lower income tax expense due to the lower income tax rate. Before we leave EWC, I’ll give a update on our cash position. We now see neutral to positive cash flow from EWC to the Parent from 2017 to 2022 and this includes our current view on potential decommissioning trust contributions. This is slightly better than last quarter due to walking in strong nuclear decommissioning trust returns and continued strategies to mitigate nuclear decommissioning costs. Tax reform will also affect our cash needs. And as shown on Slide 14, we will require incremental financing. The two primary needs are from, first, the return of excess deferred taxes, and second lower tax expense and rate. We expect the finance, this reduction through a combination of Utility company debt, Parent debt, internal cash generation and external equity. We plan to issue approximately $1 billion of equity over our outlook period. And currently, we expect that all to occur before the end of 2019. Moving to the longer term view on Slide 15, our earnings expectations continue to firm up as we execute on key deliverables. Our outlook through 2020 is unchanged despite the Parent drag that I previously noted. That’s in part because we will see increased rate base as we return excess ADIT to customers over time. Also, before tax reform, we were trending at the upper end of our ranges in 2019 and 2020. Collectively, these allow us to maintain our outlook. While I don’t normally talk about where in these outlooks we see ourselves, given the significant changes in tax reform, you should know that we do not see ourselves at the bottom of the ranges. Of course, these are our current expectations, but ultimately the amount and timing of earnings and cash impacts from tax reform will depend on the regulatory treatment. All of our jurisdictions have opened a docket in one form or another, and ratemaking regulatory proceedings are scheduled this year in each of our jurisdictions. We will work with our regulators through these proceedings to address the effective tax reform and develop the appropriate path forward so that this opportunity gets value to our customers as fast as possible. And also provide all of our Entergy stakeholders with a fair and reasonable outcome. Finally, our cash and credit metrics as of the end of the year are shown on Slide 16. The reduction in cash from tax reform will also put pressure on our FFO to debt credit metric. Even though this metric would be adversely affected, we are focused on maintaining the financial integrity detail of this credit profile by internally identifying the opportunities to improve cash flow and externally working with our retail regulators. Throughout, we expect to continue to hold an investment grade rating. As I mentioned earlier, 2017 was another strong year our results and we look forward to 2018. The foundation for success this year is largely in place as we focus on building projects that have already been approved, advance our operational capabilities, work with the regulators to implement appropriate changes and tax reform and prepare for the customer-centered and opportunity-filled future that Leo described in his remarks. And now, the Entergy team is available to answer questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Julien Dumoulin-Smith of Bank of America. Your line is now open.
Julien Dumoulin-Smith: Hey, good morning, congratulations.
Leo Denault: Good morning, Julien.
Drew Marsh: Good morning, Julien.
Julien Dumoulin-Smith: So first quick question. Just on tax reform to kind of nail this down early on. In terms of FFO to debt, where does the $1 billion equity raise get you on a kind of a pro forma and run rate basis? And how is that relative to where you want to be obviously looking at 2017 trailing, kind of what are the rating agency wanting for me today? And how much buffer more importantly are you looking to have against that?
Drew Marsh: Julien, this is Drew. Right now the $1 billion will give us around 14% range. And so that’s where starting from and we think that will maintain investment grade as we talk about and discussed. And of course, we like to do better that. We’re looking for other ways to do that by driving internal cash flows and working with our retail and regulators, but that’s kind of the place where we see it bottoming out. The amounts we’ll see – will be varying by the exact timing of the return to customers of any excess ADIT, but that’s kind of where we see it bottoming out.
Julien Dumoulin-Smith: Got it. Excellent. You generally speaking beyond the $1 billion equity. You would think that – you would organically see the growth of the business to support an improvement in the FFO?
Leo Denault: Yes. Overtime, it will improve. But early on, that’s where we’re seeing.
Julien Dumoulin-Smith: Excellent. And then on the NDT side, obviously, constructed statements in your prepared remarks. But as you see the wider strategic effort to kind of move that side of the business off your books, where do stand on that front as well, if any developments?
Drew Marsh: On EWC?
Julien Dumoulin-Smith: Yes.
Drew Marsh: So we are working on. I’m sorry.
Leo Denault: Julien, you’re asking about the cash generation of that business. Is that what you’re getting at?
Julien Dumoulin-Smith: No, I was thinking more around the strategic angles, around sort of divesting that business more structurally.
Drew Marsh: Okay. So Leo in his remarks and yesterday or a couple of days ago, you saw the update on the Vermont Yankee process, so you’re clear on that. Beyond that, we continue to work through our process to try and duplicate that effort at our other plants and those processes continue to be ongoing. We are making progress, but the first thing is going to be Vermont Yankee, and we really focus on making sure that we bring that one home and then the others will follow on behind it.
Julien Dumoulin-Smith: Got it. So you really want to see the case study of VY that first and foremost before we could closing that?
Drew Marsh: That’s right.
Julien Dumoulin-Smith: Got it. All right. Excellent, thank you. Best of luck.
Leo Denault: Thank you.
Operator: Thank you. Our next question comes from the line of Greg Gordon of Evercore ISI. Your line is now open.
Greg Gordon: Thanks, good morning.
Leo Denault: Good morning, Greg.
Greg Gordon: Thank you for the guidance around tax and appreciate you deviating from your normal way you talk about your ranges to give us a sense of that. So just to rephrase back to you what you said in your comments, so that I’m sure I got it correctly, given the regulatory outcomes you’ve seen, like your ability now to earn out your authorized ROEs in Arkansas because of the formula rate plan and that types of demand growth you’re seeing, at tax reform not happened you are looking given what you know now at being at the high-end of the range? And then the impact of, A, the loss of – partial loss of tax shield at the parent debt; B, the $1 billion of equity that you need to fund to offset the cash flow impact of tax, and C, the positive impact of rate base going up because of deferred tax. You still no lower than the midpoint of the range as you see it today?
Drew Marsh: Right. Well, yes, we said we’re not at the bottom of the range. So I think you would be – I will not kind of characterize around the midpoint specifically but we’re now not at the bottom of the range.
Greg Gordon: Fair enough. I’m not trying to put words in your mouth. But generally speaking as I think about the moving parts, have I missed anything salient?
Drew Marsh: No, those are the correct thesis, Greg.
Greg Gordon: Okay, thanks. And what can you tell us on the margin has changed between your last disclosure and your current comments on the cash flow impact of exiting EWC? What on the margin has changed to put you in a position to say you think it will be neutral to positive?
Drew Marsh: I think the main pieces are strong performance in the trust. And as you’ll see in our K, when it comes out early next week, the decommissioning actually I think it’s in the back of the disclosures in the appendix today. The trust are up over $4 billion at this point. So we see strong performance in the return of the trust. And then, secondly, we continue to work through our expectations on what it would cost to decommission facilities in the Northeast. And as we work through that, we are finding that we may be able to reduce our cost expectations there. So the combination of those two things is giving us the confidence to continue to move our expectations on the overall cash need at EWC.
Greg Gordon: Great. Last question, how do you not – let me rephrase this. All things equal before the things you’ve done to offset the impact of tax reform on your credit metrics, how much of a negative impact on your FFO to debt metric before – this is obviously before the things that you’ve done to offset it, the tax reform have has an impact in a vacuum? I mean, you say you’re going to be at 14%. Where would you be had you done nothing to offset it?
Drew Marsh: We will probably been around the 16%, 17% range FFO to debt.
Greg Gordon: Perfect. Thank you guys.
Drew Marsh: Thank you, Greg.
Operator: Thank you. Our next question comes from the line of Praful Mehta of Citigroup. Your line is now open.
Praful Mehta: Thank you so much. Hi, guys.
Leo Denault: Good morning.
Drew Marsh: Hey, good morning.
Praful Mehta: Good morning. So on the equity just wanted to understand, which piece is more correlated with the timing? Is it from a regulatory perspective if you get decision on the unexpected piece for DTL and the timing of the refund? Is that going to drive the timing to be more 2018 versus a 2019 event? Just wanted to understand how should we think about the timing.
Drew Marsh: I think that it’s more of a back-end question, Praful. So we will probably start executing second half of this year even though our processes are in complete based upon expectations for having to go into some no matter what, and then the question would be how quickly we get the certainty and we go ahead and how fast we begin to return those cash flows to customers. If it’s very quick, then we will accelerate the back end forward. But if it’s slow, obviously, we would need the cash until later. Did I answer your question?
Praful Mehta: Yes, that’s super helpful, thanks. So on the second question on EWC, clearly it was good to see the decommissioning trust performing well and the fact that you walked on those gains. But just obviously, it opens up the question to if it performs now, there is also now the risk that if it doesn’t perform well what happens then given now you’re in a positive position from a cash flow perspective? Just wanted to understand how you protect against that risk of downside on the decommissioning trust now that it’s performed. And secondly, now that you have these assets in a good position, is this a better time to execute sales with people who are experts at decommissioning these assets?
Drew Marsh: Okay. So on the first question, we have been actively trying to derisk our portfolio particularly for that for Vermont Yankee, for example. As that trust has grown we do know we have expenses that are coming, and so we’ve taken them ahead of schedule out of sort of an investment profile and putting them more into a cash profile to derisk because our trust has grown to a higher level. Similar for Pilgrim as we prepare for the retirement of that asset next year, plus Pilgrims trust by itself is up over $1 billion. So it’s a very well-funded. We’ve been actively derisking in that way. And then the second question was? What was your second question again, Praful?
Praful Mehta: In terms of executing on sales for these assets…
Drew Marsh: Yes, of course, it makes much easier to manage that sales process as though stress become higher. That is true.
Praful Mehta: All right. Thank you, guys.
Drew Marsh: Thank you.
Operator: Thank you. Our next question comes from the line of Shar Pourezza of Guggenheim Partners. Your line is now open.
Shar Pourezza: Hey, good morning guys.
Drew Marsh: Good morning, Shar.
Shar Pourezza: Let me just follow-up on Greg and Julien’s question for a second on EWC. So it’s nice to see that you’ve got a higher cash flow trajectory upon an exit. But sort of how does the cash flow trajectory look under an assumption that you sell the decommissioning trust? So in light of the performance of the funds, would it be cash flow diluted for you to exit the decommissioning trust funds?
Drew Marsh: Not necessarily because we wouldn’t necessarily have access to those decommissioning trust funds except to do decommissioning until well down the road. So the fact that it is performing better I guess maybe to Praful’s question helps us to move towards a transaction but it does not necessarily move more cash into the business.
Shar Pourezza: Got it. Okay, that’s helpful. And then just on the Louisiana FRP extension, it sounds like, Leo, obviously from your prepared remarks that you’re confident in the second quarter settlement. So has tax reform sort of improved the conversations you’re having in the settlement talks? And then can you just remind us how much capital an O&M is on the nuclear side is embedded in this current filing?
Rod West: I will address that first part. This is Rod.
Shar Pourezza: Hey, Rod.
Rod West: Yes, the conversation around taxes has slowed down our negotiations. But to the point that you just raised, we still feel good about our ability to settle the FRP. And our regulators, they issued the accounting orders as sort of a flag post to account and track the – how the tax reform would flow through that FRP before we close out the settlement discussion. Just keep in mind that our objective is still to resolve the issue to have rate effect changes happening in September. As it relates to the nuclear cost embedded in the FRP, I’ll have to get back to you on the actual numbers. I’m not sure whether we’ve disclosed a specific nuclear number in the FRP filing. But I’ll make sure that David gives a specific number if it’s public.
Shar Pourezza: Okay. And then just let me just rephrase it. Has the Arkansas order improved sort of what you’re looking to do in Louisiana?
Rod West: Well, remember we talked about that in prior discussions. The nuclear issue is less of a – had been less of a conversation in Louisiana. Our focus because of the size of our capital plan has been around transmission conversation. So nuclear is a much smaller component of Louisiana’s capital plan and as a result hasn’t been a line item, if you will, in the negotiation. So it’s been less of a I’ll just say less of an issue.
Shar Pourezza: Got it. Thanks so much guys.
Rod West: Thank you.
Operator: Thank you. Our next question comes from the line Michael Lapides of Goldman Sachs. Your line is now open.
Michael Lapides: Hey guys. A couple of questions. I just want to make sure I understand a few things. First of all, Drew, what is the O&M growth rate year-over-year you are assuming in 2018 versus 2017 at the Utility?
Drew Marsh: I’m trying to think about the percentage. It’s probably 1% to 2%, Michael.
Michael Lapides: Okay, so inflationary. And then do you see significant opportunity for O&M cost saves post 2017 at the utilities? Or do you think that’s kind of a normal run rate you go from there? I’m just asking because of the heightened nuclear spend that you had in 2017?
Drew Marsh: Right. And we are still actually ramping up some of those nuclear costs. And I think a big piece of a driver for us is the pension expense and where that will go. But beyond that, operationally, we have several programs internally to try and drive operational efficiency within our organization. And as we begin to roll out our automated metering efforts in the next year, and we start to install meters and then we start to put all the other parts together with that, new operational and management distribution systems and asset management systems and linking all those things together, we would expect to begin to realize some operational savings going forward for our customers. And as we realize that, I think that will create headroom for incremental investment but it would not at least maybe on a temporary basis it might drop to the bottom line, but we would expect that it would be recaptured in rates fairly quickly.
Michael Lapides: Got it. And then Arkansas and Rod, I want to make sure I understand the puts and takes that are happening here. Can you walk us through how tax reform helps get you closer to earnings authorized? Is it simply because the 4% cap is no longer as big of a deal because you’re reducing rates this year? Or is there some other driver there?
Rod West: Michael, I think the straightforward answer is the revenue requirements because of the lower tax expenses is less and as a result you’re closer to your allowed rate of return that you’re not having to worry about the carryover year-over-year for true up. So you’re actually earning allowed ROE in the year because of tax expense is presumed to be lower.
Michael Lapides: So I want to just kind of think about the Arkansas income statement. This is actually a pretty big deal for you guys. So tax rate goes down but revenue goes down to adjust for the tax rate. But that’s earning – that would be earnings neutral by itself. But because you didn’t get the full increase that you could have been authorized due to the 4% cap, now you can actually get that full increase in 2018?
Rod West: No, tax rate goes down. The revenue requirements, that is the amount of revenues that are embedded in our rates don’t go down. Remember, we are over. And so all I’m saying is the overage that we wouldn’t be earning on that would be subject to a true up is actually less in 2018. And so we’re actually earning closer to our allowed rate of return because of the taxes that we’re not paying that the over reach is not as great as it would otherwise have been.
Drew Marsh: So, Michael, maybe think about it this way. Our original revenue requirement request was about $130 million. The cap limited us to think $70-ish million. And so we were short by $60 million. We are under earning by that amount. What, I think, Rod is saying is under the lower tax regime, the revenue requirement get something closer to the $70 million. So if you think of it as our revenue requirements kind of our revenue line, if you thinking about it 2018 income statement, our revenue line is about the same, our tax expense will be lower and all of it will kind of balance out to where we get close to our allowed return in Arkansas. Of course, next year we will be moving through the FRP and we’ll have an expectation for a lower tax expense next year as well and we’ll just continue to roll forward in the FRP process in that way.
Michael Lapides: But thinking about the post 2018 growth in Arkansas because of the legislation and the change in ratemaking, are you thinking that 2019 and beyond barring any unforeseen things, you should be very close to annually to earnings authorized there now?
Drew Marsh: We should get much closer, yes.
Michael Lapides: Got it. Okay. Thank you guys. Much appreciate it.
Operator: Thank you. Our next question comes from the line of Jonathan Arnold with Deutsche Bank. Your line is now open.
Jonathan Arnold: Yes. Good morning guys.
Drew Marsh: Good morning.
Jonathan Arnold: Yes. I just noticed the comments about 100 megawatts of renewables potentially over three years. And if I heard you rightly it’s about 180 is PPA but then you said that they remainder I guess 600 or so would be about half of that would be ownership opportunities. Did I hear that right?
Leo Denault: Yes, yes. And over the next three years, we would anticipate entering into contracts for those – the projects themselves would be kind of more towards the back end of the period or beyond.
Jonathan Arnold: I guess, how do you have confidence that in that split at this point? And which jurisdictions OEM are we talking about?
Leo Denault: Well, we’re in the process right now in some of those jurisdictions with some discussions around those. I really don’t want to get into any detail about it at the moment because those discussions are going on. But we’ve been looking at them for a while. It’s obviously the price point of renewables and everything that come down it begins to make sense in certain instances around the system so we’re pursuing that.
Jonathan Arnold: Okay. Thank you for that. And then just on the comments about FFO metrics, and I think you said a couple of times you obviously intending to remain investment grade. But with the Baa2 Moody’s rating, are you – are we to understand that you might be willing to not to downgrade or are you also pushing to try and defend the current rating as opposed to just staying investment grade?
Drew Marsh: Right. So we’re committed to investment grade but we still wouldn’t prefer to keep our current credit rating and so certainly we’re not giving up on that. And so we’re going to be continuing to look for ways to manage to our current credit rating while we maintain our earnings outlooks that we’ve committed to you all to achieve. So I wouldn’t say that our current credit rating is going to necessarily fall down a notch but our commitment is to maintain investment grade.
Jonathan Arnold: So if I’m not wrong that the – downgrade threshold is around 15%, so would you consider more equity to stay where you are or in that instance, do we – I guess I’m just pushing for how hard you defend the current number – current grade.
Drew Marsh: Right. I mean, we will also endeavor to maintain our earnings outlooks and so that’s going to be the balancing mechanism.
Jonathan Arnold: Okay, perfect. Thank you, guys.
Operator: Our next question comes from the line of Paul Fremont of Mizuho. Your line is now open.
Paul Fremont: Thank you. Can you quantify the tax reform impact on your rate base?
Drew Marsh: Sure. This is Drew. It’s going to depend mostly upon the amount of cash that’s ultimately returned to customers because that will represent sort of incremental rate base. If there is some of the excess ADIT that turns into accelerated depreciation of existing assets or is put into sort of pay for assets that we were already planning to put into rate base and then that would be kind of neutral. Right now, we would expect that we would grow the rate base by a little over $1 billion after the three years. And then also what we already have.
Paul Fremont: Right. So in essence, I mean, you’re issuing equity but you’re issuing equity to build rate base over and above what you had an original plan?
Drew Marsh: That’s correct.
Paul Fremont: Okay. And then can you also – on the unfunded pension for 2017, can you give us an idea of where you ended 2017?
Drew Marsh: Yes. So we ended 2017 with about finishing trust assets around $6.1 billion and pension liability around $8 billion. So we’re at about 1.9 differences in that.
Paul Fremont: Okay, so you actually improve their relative to where you were last year so that should also help in terms of the FFO to debt metrics, right?
Drew Marsh: It will. But it’s not improved all that much. I want to say it’s improved by $50 million to $60 million. The rates have been going up but the pension discount rate at the end of the year versus the end of the prior year was still lower because as you know corporate spreads have tightened, curves have flattened and most of our liabilities are longer dated. So the liability went up more than we were anticipating despite the fact that we had strong returns and $400 million of contributions into our pension last year. And by the way, we would expect to put about $400 million in this year as well.
Paul Fremont: And then beyond that, I mean, should we assume that $400 million number continues as a run rate? Or should we look at those more as just one-offs?
Drew Marsh: Well, that was – this year will be the end of a five-year effort to put $2 billion of incremental assets into the pension trusts. I don’t know that it would necessarily we could continue but that is something that we’re investigating.
Paul Fremont: Thank you very much.
Operator: Thank you. And our final question comes from the line of David Paz of Wolfe Research. Your line is open.
David Paz: Good morning. I believe you said the $1 billion of external equity will depend on the timing of out of the rate case or rate filings. Do you have an at the money or turbo program?
Drew Marsh: David, we don’t have one currently established. We would need to go get authorization with our board but also with the SEC to make that happen. We would anticipate that probably occurred in the second quarter or so.
David Paz: Got it. Okay, and what’s the capacity of your internal equity programs like DRIP?
Leo Denault: We don’t have one currently established, right now.
David Paz: Okay, got it. And I believe you may have just address this, I apologized if I missed this, but can you explain why your pension discount rate assumption is falling again given the rate environment that we’re seeing?
Drew Marsh: Yes, well, it’s said at the end of the year and so it’s a once-a-year snapshot and so you compare it to 12/31/2016 and – versus 12/31/2017. And if you look at that time frame sort of a 10-year treasury, it actually come down a little bit even though the front end and shorter term treasury would come up. Meanwhile, so you had to flattening of the curve and then you also had corporate spreads, which had tightened to that. So using a longer dated curve, corporate rates were a little bit lower than what they had been previously. So that’s those are the two comparison points.
David Paz: Got it, great. And actually sneaking one more on your sales forecast, I know you said that there’s some volatility within the year. I know you see forecast the sales growth beyond this year rising. I mean, just can you characterize whether these are using conservative assumptions about industrial growth? Or are you kind of fairly comfortable with your assumption now? Just any room for further improvement and further upside?
Drew Marsh: Yes. So this is Drew again. On the industrial side, I would say that we have – we’re kind of middle of the road on our expectations for industrial growth. It’s for our large customers, it’s based upon our expectation for projects that we can see under construction right now through 2020. And what our expectation for them is in the marketplace. So I’d say that fairly middle-of-the-road expectation on industrial. For residential and commercial, there may be a little bit of near-term opportunity in 2018. But beyond that, we expect that the effects of automated meters and getting our customers better information about how to manage their energy usage would allow them to be more efficient and conservative on the way that they actually use their electricity. So we have actually built in an expectation that over the longer term, we would expect to see a decline in residential and commercial sales.
David Paz: Great. Thank you so much.
Operator: Thank you. And that is all the time we have for questions. I’d like to hand the call back for David Borde for any closing remarks.
David Borde: Great. Thank you, Nicole, and thanks to everyone for participating this morning. Before we close, we are reminding you to refer to our release and website for Safe Harbor and regulation G compliance statements. Our Annual Report on Form 10-5 is due to the SEC on March 1 and provides more details and disclosures about our financial statements. Events that occur prior to the date of our 10-K filing, that provide additional evidence of conditions that existed at the date of the balance sheet, would be reflected in our financial statements in accordance with generally accepted accounting principles. And this concludes our call. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. That does conclude today’s program. You may disconnect. Everyone, have a great day.